Operator: Good day, ladies and gentlemen, welcome to the Sanderson Farms Inc. third quarter 2009 conference call. Today’s call is being recorded and now at this time for opening remarks and introductions. I would like to turn the conference over to Mr. Joe Sanderson. Please go ahead, sir.
Joe Sanderson: Thank you. Good morning and welcome to Sanderson Farms third quarter conference call. Lampkin Butts and Mike Cockrell are with me this morning. We reported today for our third fiscal quarter net earnings of $43 million or $2.09 per share. This compares to a net loss of $3.6 million or $0.18 per share during last year’s third quarter. I will begin this morning’s call with a few general comments and we’ll then turn the call over to Lampkin and Mike for more details. Before making any further comments, I will ask Mike to give the cautionary statement regarding forward-looking statements.
Mike Cockrell: Thank you, Joe and good morning everyone. This morning’s call will contain forward-looking statements about the business, financial condition and prospects of the company. The actual performance of the company could differ materially from that indicated by the forward-looking statements because of various risks and uncertainties. These risks and uncertainties are described in our most recent Annual Report on Form 10-K and in the company’s Quarterly Report on Form 10-Q, which was filed with the SEC this morning for the third fiscal quarter ended July 31, 2009. You are cautioned not to place undue reliance on any forward-looking statement made this morning, as each statement speaks only as of today. We undertake no obligation to update or to revise forward-looking statements. External factors affecting our business such as grain cost, market prices for poultry meat and the overall health of the economy, among others over which we have no control, have been more volatile than usual over the past year and our view this morning maybe very different from our view a few days from now.
Joe Sanderson: Thank you, Mike. Our results reflect improved market conditions during our third fiscal quarter, when compared to the third quarter of last year. Market prices improved seasonally during the quarter and our costs for corn and soybean meal were lower than during last year’s third quarter. We continued to operate well during the quarter and I thank everyone associated with Sanderson Farms for their focus on our operations. That focus on our operations and attention to detail, together with a conservatively managed balance sheet, have put us in a position to again significantly grow this company and add value for our shareholders. Overall the market prices for fresh chicken improved during the quarter, compared last year’s third quarter, but I continue to believe the improvement has more to do with production cuts than demand improvement. Retail grocery store demand remains strong, resulting in a higher Georgia Dock in last year. Exports as well as domestic demand for dark meat supported leg quarter prices during the first part of the current quarter at levels ahead of the past two quarters. Market prices for boneless breast meat were better than during last year’s third quarter, but softened toward the end of the quarter on continued weak food service demand. While market prices for both corn and soybean meal have remained volatile, they were lower during the quarter than during last year’s third fiscal quarter and were slightly higher than during our second fiscal quarter of this year. We expect feed cost to remain below a year ago for the rest of this year. The USDA August crop report indicated there should be an adequate supply of corn next year and that the record number of soybean acres should produce a harvest that should help prepare the soybean balance sheet. All of indications or this year’s corn and soybean crops will be adequate and that significant progress should be made replenishing depleted soybean stocks, market volatility will continue US concerns grow for an early frost and yield issues. This is particularly true for soybeans as old crop suppliers remain tight and the expected large crop is needed. Despite about the grain markets this year, our feed ingredient costs will end the year significantly lower than last year. Based on what we had priced the rest of our needs through the end of the fiscal year at yesterday’s closing prices on the Chicago Board of Trade, our feed ingredient cost would be approximately a $118 million, lower this fiscal year than last year. This lower cost would translate to a decrease in cost per dressed pound of poultry of $0.047 for the year. For the fourth quarter, feed costs will be $45 million lower than last year’s fourth quarter, if we priced all our needs today, which would lower cost by $0.069 per pound. It is too early to predict costs for fiscal 2010, but we will be carefully watching the markets for opportunities to begin pricing a portion of next year’s grain at lower cost. We will report our progress on our December call. The chicken markets are no easier to predict than the grain markets. While egg sets have remained below a year ago, and we are heading into the fall with fewer chickens on the market, we are also heading into the fall and the seasonal reduction in chicken demand with weak demand at most food service establishments. We continue to believe, we will not see a meaningful rebound in food service demand until well into calendar 2010 at the earliest, and then only if employment numbers begin to improve. Consumers need to get their jobs and confidence back before they’re going to start eating out again. Fewer chickens than for normal will be needed this fall to meet demand and fewer chickens will be available, but we won’t know until we get there whether or not the industry has balanced supply with what we believe will be reduced demand. We reported on our May call, that we would increase live weight at our Mississippi and big bird plants, which we did, but weights remained below target weights for much of the quarter because of heat. We processed 632.6 million pounds of dressed poultry during the quarter, down slightly from the 635.8 million pounds processed during last year’s third quarter, but up from the 570 million pounds processed during our second quarter of this year. Our headcount increased to full production on August 1, and we expect to run our plants full during our fourth quarter. Lower live weights and the fact we were running our plants at more than full production during last year’s fourth fiscal quarter, we’ll keep pounds below last year’s fourth quarter. We will institute our fall cutback on November 1, and that cutback will be more than normal at our big bird plants. We expect to process 650 million pounds during our fourth quarter, which is 1.3% less than the 659 million pounds processed during last year’s fourth quarter. Egg sets and seasonally lower fall demand will impact market conditions for the short term, but more important for the long term is a reduction in pullet placements. Through the first seven months of 2009, pullet placements were down almost 4.5% from a year ago. In its report last Friday, the USDA projected a breeder flock on the ground in February, 5% smaller than a year ago. These numbers indicate the long term supply numbers will remain in check. While we can never predict with certainty what market conditions will be over the short term, we remain bullish on the long term prospects for our company and the industry. We expressed our positive outlook for the long term in July, with the announcement we will resume development of our new North Carolina location. I am pleased to report that we have broken ground at our new Kinston, North Carolina complex. Both the hatchery and the feed mill are under construction, and construction is scheduled to begin at the processing plant in September. We expect to begin processing chickens at the plant during the first fiscal quarter of 2011, and look forward to the new opportunities the new plant will provide for the company, our shareholders, our employees, our growers and our customers. At this point, I will turn the call over to Lampkin for a more detailed discussion of the market and our operations.
Lampkin Butts: Thank you, Joe and good morning. Overall our market prices for poultry products were higher during the quarter, when compared to our third quarter last year. The average Georgia dock whole bird price during our third quarter was 2.3% higher than last year’s third quarter. Averaging $0.8812 per pound during the quarter, compared to the $86.12 per pound last year. The Georgia dock price for this week is $0.865 per pound, which compares to $0.885 per pound for the same week last year. Although the dock price is off a bit from its summer high, it continues to reflect good demand for chicken in retail grocery stores. Demand for chicken will adjust seasonally after Labor Day, and chicken will be competing in the meat case this Labor Day and fall with cheap pork. Our Labor Day ad business looks good, but there will also be cheap pork in the grocery stores and cheap beef as well. Bulk leg quarter prices were lower for the quarter compared to last year’s third quarter, decreasing 4.9%. Total exports of broiler parts were slightly ahead of last year, through the first half of the calendar year, increasing 0.8% in volume. Export volume to Russia was lower by 22.7% during the first six months of the calendar year, while export volume through China was down 1.6%. Bulk leg quarter prices averaged $0.464 per pound during our third quarter of this year versus $0.488 per pound during last year’s third quarter. Bulk leg quarters are currently quoted at $0.40 per pound. Reduced domestic and export dark meat demand are contributing to lower leg quarter prices as demand from domestic food service customers is being impacted by the weak economy. The recent delisting of plants approved to ship product to Russia will support prices for Russian exports, but much of the product from the delisted plants is being marketed domestically and in Mexico, which has put pressure on prices in those markets. Prices for jumbo wings remained strong during our third quarter, when compared to last year. Jumbo wings averaged $0.132 per pound, up 62.6% from the average of $0.812 per pound during last year’s third quarter. Wing prices have remained relatively high all summer and usually strengthen as we move into the football season. Boneless breast prices were higher during our third quarter, increasing by 3.4% when compared to the third quarter a year ago. This year’s third quarter average Urner Barry price of $0.151 per pound compares to an average of $0.146 per pound during last year’s third quarter. Today the Urner Barry quoted market for boneless breast meat is $0.134 per pound. Demand for boneless meat will seasonally adjust down after Labor Day, but as Joe observed, we will also have fewer chickens on the market this fall, compared to last year. Food service demand remains very weak, however, and that weakness will keep pressure on breast prices. The overall result of these market price changes was an increase in our average sales price per pound of poultry products sold of $0.063 per pound, when compared to last year’s third quarter. This increase represents a 9.35% increase from last year’s third quarter. While our sales price for poultry products increased $0.063 per pound, our grain cost per pound of processed poultry sold decreased $0.058 per pound. The company paid 26.7% less for corn purchased during the third quarter, compared to our third quarter last year and paid 1.2% less for soybean meal purchased during the quarter than last year. We sold 632.1 million pounds of poultry during the third quarter, a 1.4% decrease from the 641.4 million pounds sold during last year’s third fiscal quarter. We processed 632.5 million pounds of dressed poultry during the quarter, down from the 636 million pounds we processed during last year’s third quarter. For the first nine months of the year, we sold 1.8 billion pounds of poultry products, compared to 1.7 billion last year, and processed 1.77 billion pounds this year compared to 1.78 billion pounds last year. The fact that we sold more pounds than we processed so far this year reflects a decrease in processed pounds in inventory. We expect a decrease in pounds sold and processed during our fourth fiscal quarter compared to the same quarter last year of 1%. We now expect to process 2.427 billion pounds this year, a decrease of approximately 1% compared to 2008. Performance also improved at our prepared foods division during the third quarter, reflecting a more profitable sales mix and improved efficiencies. We’ve been pleased with the sales progress at our prepared foods plant as well as our product mix, although we are looking for more sales at that plant. Looking ahead, we remain confident that we will continue to improve our operating performance and sales execution. Like Joe, I am looking forward to the opportunities a new chill pack plant in North Carolina will provide our company, our people, our customers in our growers. We have already named a division manager for our Kinston live Production Division and are recruiting growers and hiring managers for the entire complex as we speak. We have a proven model for constructing, starting up and operating a new facility and our people are anxious to get started. I’m confident our sales team will successfully find customers for our Sanderson Farms chill pack chicken. At this point I’ll turn the call over to Mike Cockrell.
Mike Cockrell: Thank you, Lamp. Our financial results during the third quarter reflect the improved market environment described by Joe and Lampkin. Net sales for the quarter totaled $504.8 million and that’s up 8.12% from the $466.9 million during the same quarter last year. That increase was the result of an increase in poultry sales price of $0.063 per pound, offset by $9.2 million pound reduction in volume. The $2.09 per share earned during the quarter compares to a net loss of $0.18 a share during last year’s third quarter. Our cost of sales for the three months ended July 31 as compared to the same three months during fiscal 2008 decreased 9%. The decrease is a result of the 1.4% decrease in pounds of poultry sold during the third quarter, compared to the same quarter last year and the lower feed cost. Feed cost in flocks sold decreased 19.5% or $0.058 per pound from last year’s third quarter and feed cost accounted for approximately 45.8% of our cost of poultry products sold during the quarter. By comparison, feed cost accounted for 51.7% of our cost of poultry sold during last year’s third fiscal quarter. The $0.063 per pound improvement in our net sales price for poultry products when combined with a $0.058 per pound improvement in our cost of feed and flocks sold, resulted in our improved operating margins. Our operating margins at our prepared foods division as Lampkin mentioned also improved during the quarter and have improved year-to-date. SG&A expenses for our third quarter of fiscal 2009 were up $8.5 million to $21.5 million when compared to $13 million for fiscal 2008. This increase reflects the accruals for our ESOP of $4.8 million during the quarter and accruals for our bonus award program of $3.5 million. Both of which were absent last year and those numbers were offset by planned reductions in advertising expenditures during the year. Interest expense decreased $2.3 million to $2 million during the quarter reflecting lower outstanding debt and lower interest rates. The company’s effective tax rate for the quarter and for the first three quarters of the year ended July 31 was 36.2% and we’re using that same number for the balance of the year and the fourth quarter. At the end of our third fiscal quarter our balance sheet reflected stockholders equity of $411.4 million networking capital of $172 million. The current ratio was 2.7 to 1. Our long term debt totaled $132.9 million and our debt to total capitalization ratio was 24.6%, as of July 31, 2009. We had a relatively large cash position at the end of July and our net debt to cap ratio was 19.6%. We spent $15.9 million on CapEx during the first three quarters of the year, and we also declared $8.8 million in dividends through the first nine months of the year. We paid back approximately $67 million during the quarter on our revolver and we will continue to aggressively pay down debt during our fourth quarter as we are able. We used that significantly large cash position on hand at the end of the quarter to pay down an additional $27 million of LIBOR notes that matured during August and the balance outstanding on the revolver as of today is down to $43 million. Our total long term debt is down to $106.9 million. Our balance sheet reflected an increase in the value of our inventories of $13.1 million since October 31, 2008. While the value of processed inventory and feed ingredients actually decreased by $15.2 million, the balance sheet value of live inventories increased $28.2 million since the end of last fiscal year. Our live inventory was valued at July 31 at cost, while our October 31, 2008 balance sheet reflected live inventories adjustment of $35 million to reduce the value of those to market value, which was lower than cost at that date. During fiscal 2009, we now expect to spend approximately $23.8 million on CapEx, and that is an increase over our previous guidance. That includes $3.5 million for our Kinston, North Carolina facility. The total CapEx budget for Kinston will be approximately $121.4 million and most of that will be spent next year. Our depreciation and amortization during the first three quarters of the fiscal year total $32.7 million and we expect approximately $43.5 million for the entire fiscal year. That completes our prepared remarks this morning, but before opening the call for questions, I want to remind everyone that the company will sponsor a conference for shareholders, investors and analysts in New Orleans on October 28 and October 29. The conference will start Wednesday night, the 28, with a reception and will continue Thursday morning with presentations by a representative of agro staffs, a grain expert from Brock and Associates and Management. The conference will conclude at noon on Thursday, the 29. The conference will be broadcast on the web and you can find more information on that conference at our website at www.sandersonfarms.com. With that, we will now open the call for questions.
Operator: (Operator Instructions) Our first question comes from Christina McGlone - Deutsche Bank.
Christina McGlone - Deutsche Bank: Joe, I wanted to get a better idea of an outlook from you. When you were talking about the fall, you said we’re heading in with fewer chickens, but we need fewer chickens than normal because of demand. So I wasn’t really clear on where you think we’re going in terms of pricing this fall?
Joe Sanderson: We’re headed into a normal fall period, where with our August, September, or October quarter is going to be right now looks decent and we’re comfortable with it. November and December, we don’t know what the numbers of chickens are going to look like yet we’ll start to see it. If you look on an egg set table, we start getting into kind of I would say, difficult comparisons beginning. I believe it’s the week of September 12, compared to a year ago, when they dropped below $200 million, down to, I don’t remember the number, but it was 195. Last year the egg sets dropped significantly and so, those are going to be some difficult comparisons and we’re going to have to wait until we get to mid-September to see what the industry does then, preparing for the holidays, and then the other side of that equation is going to be grain cost. I don’t think we’re going to know that for another 30 days, but I feel like the industry is very sensitive to particularly the weak food service demand and so I feel like they’re going to address it with egg sets. The fact that pullet placements are reflecting caution by the industry, I think they’ll also be cautious with the egg sets. The period I’m talking about is really November, December. November, December, Thanksgiving, Christmas is the period of slow demand for chicken and that’s the period where we’ve cut back the most in big bird deboning, which we always do, but we’ve cut back more this year, and last year the industry made significant cuts and we’ll kind of know mid September, what the industry is going to do this year.
Christina McGlone - Deutsche Bank: In the past you talked about Urner Barry, I guess our market price is running maybe at a $0.16 to $0.18 discount Urner Barry historically, and I’m curious where it is now?
Joe Sanderson: It’s about that same level right now. It kind of perked up this week, right after July of the fourth, it got in a little we below that. A week or two it was below running, 20 to 25 back of the quoted market, but in the last week or so it’s gotten back to the normal discount. Once it got to this level, product started moving better and the market has gone unchanged for the last three or four days. At these levels, product is clearing pretty well and it’s back to what I’d call a normal trading levels.
Christina McGlone - Deutsche Bank: Then just last question, what should we think about for volume in fiscal 2010, when we’re modeling it? Are you going to disclose, how deep the cutback will be in November?
Lampkin Butts: What we normally do in the fall, probably around the holidays, is take our full capacity and adjust back. On a normal week, we’ve cut back 4%. Now, last year we started that in October. This year, we’re starting that in November, but in addition to that, what you have is a complete down day for Thanksgiving and Christmas and New Year, and then our chill pack plants and our big bird plants will run a four day week, the week before the holiday as well, just because of reduced demand. Then at our big bird plant we’ve done a little more cutback than that and a normal holiday cutback when you put all that together ends up being about 12% from capacity and that’s where we’ll be at our chill pack plants this November and December, but at the big bird plants that will amount to 17.5% less than capacity.
Joe Sanderson: For November and December and we hadn’t decided about January. You’ll also have another. We have two holidays in January. You’ve got Martin Luther King as well, but we hadn’t decided about January yet.
Christina McGlone - Deutsche Bank: Overall, ‘10 volume will be up year-over-year, do you think?
Mike Cockrell: We haven’t changed what we’ve been saying about 2010. It will be up about 7% from 2009. Subject to everything you just heard Joe say. I mean, that’s what we have been saying and showing on our charts is a 7% increase to 2.598 billion pounds of chicken in fiscal 2010, but that is subject changes as market conditions dictate and as Joe said, we have any decided yet about January so that number could change.
Operator: Your next question comes from Farha Aslam - Stephens Inc.
Farha Aslam - Stephens Inc.: Joe, could you comment on the export market a bit are we able to get export permits to China, in particular?
Joe Sanderson: Lampkin, comment on that.
Lampkin Butts: Yes, we are so far and we have not missed any shipments to China so far. Our trading partners over there have done an excellent job getting these certificates, the ARS and so we’ve continued to ship. I will tell you that they describe that as a lot tighter, where they used to book those import certificates six months at a time, they’re booking them 30 days at a time. It’s my understanding not all importers in China are able to get those, but so that is tighter we hadn’t missed any shipments. I do know that the Chinese like the language in the Senate Bill and they’re watching to see if that could be resolved in conference committee. So, we’re watching it closely. It’s not over it’s still an issue of the Senate Bill, is helpful, the language in that bill is helpful and we’ll see what develops in September when they come back to work.
Farha Aslam - Stephens Inc.: If you have adequate certificates to cover you, you think, through that September, October timeframe and do you anticipate any interruptions in your exports to China at this time?
Joe Sanderson: We are in good shape through September and we don’t anticipate any interruptions, although which possible, but we don’t anticipate that at this time up. Our contacts in Washington and Dallas that even if the trade representatives office there, they describe the situation as hopeful, because the White House supports the Senate language and also they think if it continues to go through the appeal process at WTO, that really China would have a very, very good chance of winning it there, if it’s not resolved in conference committee.
Joe Sanderson: I’m going caution about any export market, every export market, you’re subject to disruption at any minute of any day. Everything is okay today and we think it’s all right through September and our partners over there have been able to get certificates, but you just always need to be cautious about any export market.
Farha Aslam - Stephens Inc.: Then so on exports, what are leg quarters being booked for right now if you have a forward read on leg quarter pricing?
Lampkin Butts: Our August production of course on base $0.40 we were looked into Russia in the mid-40s, delivered port. Other countries, domestic and Mexico, other countries were mid-30s and even though we really have not booked all that for September production, but I think the prices are going to be similar to that. Could be a little lower, but I don’t see them being any higher. I’m saying similar to that for September.
Joe Sanderson: You’re not going to be any lower than that?
Lampkin Butts: Not what we’re seeing. There’s talk of high 20s, but we have not booked anything at that and we’re above that. So that’s what we’re shooting for in September. We just have not booked that.
Farha Aslam - Stephens Inc.: Joe, you had mentioned increased supply of kind of cheap pork and cheap beef. Could you just share with us your thoughts on how that will impact chicken and the retail feature activity in light of the cheap competing meats?
Joe Sanderson: We think Labor Day is going to be very similar to July, 4. We’re going to see in the east, we’re going to see chicken in Florida and Alabama and New Orleans and all of our customers in the east are going to feature chicken and pork. In the west, when you get to Texas and Arizona and Utah and that area, you’re going to see more pork. You’ll see chicken, but it will be in less of a featured role. It’s going to be very similar to July, 4. We have good features. We’re probably going to have to run our retail plants on the Saturday before, but it’s going to breakout very similar, more pork in the west, chicken in the east.
Operator: Your next question comes from Brett Hundley - BB&T Capital Markets.
Brett Hundley - BB&T Capital Markets: Joe, you mentioned the fall cutbacks that you announced and some that are going to be in excess of the normal. Are those just on a per head basis or does that take into account any weight expectation?
Joe Sanderson: We anticipate running our normal weight, be heavier than the last year. Last year we had reduced our live weight. We’ll be back to our normal weight. We’re a little lighter right now than our normal weight we were during the quarter because of heat. We’ll be back to our normal targeted live weight, we hope, as soon as it cools off here, maybe October, November and December. What we were really talking about is headcount.
Brett Hundley - BB&T Capital Markets: Mike, was there anything else abnormal on the SG&A expense line, besides those ESOP and bonus accrual items?
Mike Cockrell: No, not really. Of course, as I mentioned, they were both absent last year. We did as planned and as we have continued all year, reduced our advertising cost, but no there was...
Joe Sanderson: Also, the ESOP and the bonus accruals were ketch-up accruals.
Mike Cockrell: Absolutely.
Joe Sanderson: They will normalize for the fourth quarter.
Brett Hundley - BB&T Capital Markets: So you don’t expect a similar type impact going forward near term?
Joe Sanderson: No. They were ketch-ups for nine months.
Mike Cockrell: Yes, they will be lower in our fourth quarter.
Brett Hundley - BB&T Capital Markets: Then on the food service side, I was wondering if you guys could, share if you’ve seen any deterioration in the year-over-year changes that have been taking place? So, the decline that we’ve been seeing in food service and weak demand there have you seen any further deterioration there?
Joe Sanderson: No, no. It’s stable and it’s just static, nothing’s changed. There’s been no change. It started in the second and third quarter of ‘08 and I think the bottom was the fiscal quarter of ‘09, and since that time it’s been stable. We haven’t seen any change in it.
Brett Hundley - BB&T Capital Markets: My last question, just looking at 2010, and it sounds like in your prepared comments that you haven’t started to really lock in any grain there, but I just thought I’d ask to see what your approach has been thus far, if you’ve started locking in for 2010? Also if you could give some comments surrounding Q4 of this year and if you’re staying close to the market there or what you had looked at during Q3.
Joe Sanderson: We are very close to the market for our fourth quarter. We have not booked all of our needs for the fourth quarter. The market is very unsettled, weather driven right now. Market is very nervous. Conditions are excellent, outstanding, wonderful potential for a record crops are there. Market’s very nervous, because the crop is late. An early frost would be an anomaly. There hadn’t been an early frost since the 70s. Nevertheless, that could occur, but we’re just being very patient right now. Everything cool, a cool Midwestern summer, every time there’s been one, there’s been record yields in both corn and beans. There’s been perfect rain, perfect weather, perfect soil moisture. Everything is set for great yields and we are being patient right now, and it’s going to be another 30, 40 days before we know what to do.
Operator: Your next question comes from Christine McCracken - Cleveland Research.
Christine McCracken - Cleveland Research: Just wanted to follow-up on the earlier line of questioning on retail, we’re sitting here in front of the fall season, headlines today about H1N1 and the potential risks. Have you seen any pullback from retailers in terms of their support for pork and is that a potential benefit for chicken going into the fall?
Joe Sanderson: We have not seen any pullback. It almost feels like they’re getting more play for Labor Day than they did July the fourth. It’s kind of breaking out east and west again. “Is the price lower you think now than it was?” Yes, I think so too. It feels like it’s totally price driven. If it pops across the country like they say it is, I don’t know, Christine. Did I see where they and said 90 to 150 million people may contract this. Yes, that’s what I saw in the news in the last couple of days. I don’t know what the reaction’s going to be. If they call it H1N1, which they should, it shouldn’t have an impact, but if it’s hyped to swine flu, I don’t know what it’s going to do. I don’t want to get in that.
Christine McCracken - Cleveland Research: You haven’t seen any noticeable change in intentions?
Joe Sanderson: No. Labor Day they’re running pork and I think maybe they’re running a little bit more for Labor Day than they did for July the fourth, is what it feels like.
Christine McCracken - Cleveland Research: Then I sensed a little hesitation on the wing outlook. Obviously, wings have been incredibly strong all year?
Joe Sanderson: No, hesitation, but we’re bullish on wings. I don’t know if we’re bullish on wings.
Christine McCracken - Cleveland Research: You think they’ll continue to increase or are we kind of peaking out or…?
Joe Sanderson: I don’t know how much more up it has in it with breast at $1.34, but it’s gone up. When did it go up this week or last week?
Mike Cockrell: Last week…
Joe Sanderson: They have started moving up last week and demand for wings is outstanding and it’s good.
Christine McCracken - Cleveland Research: It sounds like about 20% or so of the kind of food service wing demand is being met by a boneless wing or breast meat product. Is that going to help breast meat? Is it going to keep a lid on wing prices? What’s your expectation there?
Joe Sanderson: I wouldn’t be surprised if breast at these prices wouldn’t find its way in and kind of keep wings until January. When January comes, it doesn’t matter, wings are going to go, but for the time being, it wouldn’t surprise me in boneless wings and that kind of the white meat wouldn’t keep wings in check a little bit. That wouldn’t surprise me, but wings are already $1.35 or so likely, I mean, my goodness. They’re the same price as breast meat.
Christine McCracken - Cleveland Research: I guess just one last question, on demand. You had said that food service demand was, in yours stable here into July and August. If you make the case that supply hasn’t really changed and retail is good, you would normally see breast meat obviously come off some seasonally, but maybe you can give us a little more color on what’s behind that.
Joe Sanderson: Behind the seasonal decline…?
Christine McCracken - Cleveland Research: We’ve from some food service contacts in multiple channels that food service actually got quite a bit worse in July and first of August, so…
Lampkin Butts: No, we didn’t see any decline. We just saw a decline in price and we think it was just a supply. Our sales we didn’t see it. We’re tracking about the same volumes that we’ve been looking at all year at food service. We were surprised to see the market fall in August. We thought we might have seen these prices later in the fall. That probably indicates some demand is off somewhere but we haven’t seen it in our orders.
Joe Sanderson: We saw breast popping up at from different places, from different people that were showing up, but we never did have a lot of excess breast. It was kind of some further processors that normally are not out there.
Christine McCracken - Cleveland Research: Might be an inventory deload of some sort, although inventories have been staying pretty Lean.
Joe Sanderson: Yes, they have. They have.
Operator: Your next question comes from Ken Goldman - JP Morgan.
Ken Goldman - JP Morgan: So looking into fiscal ‘10, there’s a lot to like there’s probability of sustained growth in the corn and crop and the soybean meal crop and so forth, but my question is really on the upcoming far quarter the fourth quarter. Because if you look at some of the headwinds, Georgia Dock is hanging in there, but starting to come of boil a little bit, it’s now down a little bit year-on-year. It sounds like you guys have not locked in a lot of soybean meal and even though maybe the prices for the futures are overheated now you maybe buying a lot of soybean meal at inflated prices for this quarter. There’s talk as you said of maybe $0.20 leg quarter or so China’s a risk. So, I’m looking at I know you don’t provide specific guidance, but I am looking at the EPS number that’s out there on the Street and it’s $1.20 and which implies I think over $40 million in operating income. Is it fair to suggest that that’s probably a little bit aggressive, even though things are going well maybe they’re not going that well for you?
Lampkin Butts: I don’t know what Labor Day is going to do and I don’t know what green prices are going to be. We hadn’t priced them yet. I know August is going we’re pretty comfortable with August. August is going to be a pretty decent month and but I don’t know what the markets are going to do and September and October, but August is going to be a good month and but I have no clear about, with boneless breast where it is, movement is pretty good and just depends on if it hangs there. We hadn’t seen anywhere near $0.20 leg quarters. If Lampkin is right and we book leg quarters for September in the 30s, you’re going to have September look a lot like August, and so that don’t feel out of reach today.
Ken Goldman - JP Morgan: Even with soybean, that’s good to hear. Even with soybean meal probably on an actual basis spiking for you guys a bit?
Mike Cockrell: Well, soybean meal is going to be higher, but a lot of your cost in the chickens in the fourth quarter is going to come from the soybean meal you brought into your mills in the third quarter. It will be a blended cost. It won’t all be what you bring in September and October. What we paid for soybean meal in August is a good bit higher than what we paid in July, but that’s going to be blended with our July cost. You see what I mean?
Ken Goldman - JP Morgan: I do. Then one more question for you. You mentioned you’re in a position to grow the company significantly. You had a lot of cash on the balance sheet by your measure. There’s still a big shelf out there, if I’m right. You still have some of your competitors fairly distressed in terms of the balance sheets. Is it reasonable to assume that you guys might be looking at acquisitions now or is that something that you are holding off on?
Mike Cockrell: Well, we’ve pretty much focused on Kinston right now. That’s a $120 million commitment and Kinston is what we’ve chosen to do. We are always evaluating opportunities, but pretty much our focus is on Kinston.
Operator:
 - :
Steven Cher - Wisco Research: I want to talk a little bit more about corn and corn pricing. Specifically, how much did you buy forward in this quarter and with the benefit of hindsight, do you think that was a pretty good purchase or in hindsight do you kind of wish you would have waited in accorded to buy corn.
Joe Sanderson: Which quarter now, third or fourth?
Steven Cher - Wisco Research: The third that we just finished.
Joe Sanderson: We’re pretty happy with what we bought in the third quarter. 
Steven Cher - Wisco Research: So did you get a lot of prices? Did you buy a lot in August and…?
Joe Sanderson: Did we buy a lot? Where we did, they’re not, but four weeks in August so, I wish we had waited to buy.
Mike Cockrell: Some of that corn.
Joe Sanderson: Yes.
Steven Cher - Wisco Research: That’s what I’m curious, because it’s rolled over now a little bit.
Joe Sanderson: Some months you win and some months you lose. We did real well on corn in the third quarter and we still have a lot to price in the fourth quarter, but the August corn, we priced a little early, but we still have a lot to price for the fourth quarter. We hadn’t priced all of it yet.
Steven Cher - Wisco Research: Then secondarily, you guys have $6 million free cash flow so far this year and I appreciate you’re paying down debt, you’re being very aggressive on that metric, but is there any point where you say our debt to cap’s low enough, some metric you’re looking at debt that maybe you to change the focus. Obviously, you’ll have Kinston coming up, but will you think about changing the dividends or think about share buyback or anything of that sort?
Joe Sanderson: We had a very low CapEx budget this last year and my guess is Lampkin and the Division Manager is fixing to come in here with a pretty strong CapEx budget. I hadn’t seen, but my guess is, our CapEx budget is fixing there, our normal, regular, they’re fixing to come in with some great ideas for us to spend on our normal CapEx budget plus we have Kinston, which is $120 million and then we always consider dividends, but I think we have plenty of obligations on capital expenditures right now.
Operator: Your next question comes from Ken Zaslow - BMO.
Ken Zaslow - BMO: I just have a couple follow-ups, just because most of my questions have been asked and answered. In terms of the promotional activity for pork, it seems like they’re doing it to clear out production, you clear out product before the fall in the H1N1 season. I guess my question on this is how long do you think this will last? First of all, do you agree with me and do you think that once it’s cleared out you’ll be fine after the November, December in terms of the promotional activity and how long will it last?
Joe Sanderson: I think it’s strictly driven by price. I think the retailers are getting some tremendous deals on pork products at very low prices and I hadn’t seen the newspapers yet, but I think you’re going to see some very low prices on ribs and Boston Butts and tenderloins and pork chops and all kind of pork prices and I think they have a window of opportunity right now, before what Christine was talking about. If there is a huge outbreak and it does start getting headlines. This is their opportunity to maybe in the next 60 days to feature pork and at these low prices and do it and I think it’s totally price driven and we’re going to see it and it’s more popular in the west and the Southwest than it is in the east.
Ken Zaslow - BMO: In terms of egg sets, is it more important to see the change move or the absolute level?
Joe Sanderson: The absolute number is the most important thing, the percentage is not important. The absolute number is what’s important.
Ken Zaslow - BMO: What is the type of numbers that obviously you would want to see lower, but what is a realistic type of number that you would expect and would help return chicken margins backup and breast prices moving up? What are the parameters to what you kind of think about the numbers?
Joe Sanderson: This 200 million numbers has seemed to kind of keep a pretty good balance on things right now, and 205 we’re pretty good through the summer and I believe it begins mid September for the holidays. I believe it dropped. I don’t have that sheet in front of me, Ken, but I know it dropped down to 195 and maybe even below that. I don’t have it, but it was for the Thanksgiving for November, December, it dropped down lower than that. I think we need something lower than what we have now to get through the holidays and then it started going back up. When you look at those numbers, you also have to blend in. You’ve got to blend in a 42 day old chicken, a 49 day old chicken for trade pack and then 60 day old chicken for the deboners and you’ve got to put all that together, but when you get to last year’s comparisons, they’re going to be more difficult when you get to mid September than what they are right now.
Ken Zaslow - BMO: Okay, but you don’t care if year-over-year, they could be slightly up or whatever, but you care more about the absolute, which is…?
Joe Sanderson: I do. I care more about the absolute number than I do about the percentage.
Ken Zaslow - BMO: Then I have two more. November, December, can the industry be breakeven? I’m assuming they won’t lose money, but I think roughly breakeven, is that a fair kind of assumption for the industry?
Joe Sanderson: You could. Sure, you could. Absolutely you could.
Ken Zaslow - BMO: But you don’t you’ll just stay out of the red?
Lampkin Butts: You could do either one. I mean, you could lose a little money; you could make a little money, I don’t know.
Ken Zaslow - BMO: Then I guess this question a lot from investors and I think it’s probably better for you to answer than me because I have to make some sort of guesses. If I assume Georgia Dock leg and wing prices and soybean meal prices stay unchanged. How much could boneless breast prices move to offset a dollar move in corn? How is that relationship just between boneless breast and corn, assuming everything else stays constant?
Joe Sanderson: I have no idea. I don’t look at that.
Lampkin Butts: Yes, we’ve quoted the general rule about corn before, that for every $0.10 per bushel move in corn, it impacts cost, live cost by a quarter of a cent or pound. $10 of ton in Georgia Dock so a $1 bushel I think what you said that’s $0.025 pound.
Joe Sanderson: You’ve got to yield it at 85%.
Lampkin Butts: I don’t know.
Joe Sanderson: I’m not sure, Ken.
Ken Zaslow - BMO: Because I get that question I keep on scratching my head exactly.
Joe Sanderson: Too many moving I’ll do the work. Next time you ask I’ll be ready to answer.
Operator: Your final question comes from Akshay Jagdale - Keybanc Capital Markets
Akshay Jagdale - Keybanc Capital Markets : I’ll start with the short term question as a follow up to some of the ones that have been asked. In terms of you gave clear feed cost guidance, I think you said feed costs are going to be down $117 million for the year. That would imply that the year-over-year change in feed cost in 4Q will actually be in more than it was in 3Q. So that’s one thing I think sequentially the way I look at it, your feed costs are not changing much and then on the revenue side, seasonally demand has come down, prices have come down, but as of today, looks like your revenue per pound is going to look very much like 2Q. So from where I stand, if I take those two data points together, as of today it looks like you may have another 9%, 10% EBIT margin quarter as of today. Is that I mean am I missing something there?
Lampkin Butts: The $118 million we quoted was based on if we had locked in.
Joe Sanderson: If we’ve priced everything yesterday and we didn’t and we hadn’t priced it. That’s where the $118 million, but today, where prices are today, if you look at $0.34 leg quarters and $1.34 breast and $1.30 wings, that’s about where you were in the second quarter. Now, I don’t know about exactly about feed cost, but you’re pretty close on price and I think may be a little bit higher on feed cost in the fourth quarter, but you’re not too far off. You’re higher on soy but you’re probably, you’re higher on soy and you’re lower on corn, but you’re pretty close right now as you sit here today to the second quarter. That’s what he’s saying and that’s the same as the estimates is what he’s saying, but you don’t know what you’re going to do for September and October.
Lampkin Butts: If you go back and look at boneless, boneless averaged $1.38 in our second fiscal quarter; today you’re $1.34, what you’ve got to ask yourself on the revenue side is of course where do you think all that’s going.
Akshay Jagdale - Keybanc Capital Markets : Where were you on leg quarters for the quarter?
Joe Sanderson: You’re actually a little above that. You’re little above on leg quarters right now versus where you were on the second quarter but to finish that thought, though, and that analysis, you’ve got to plug in.
Lampkin Butts: We’ve sat around the office and made that same observation.
Akshay Jagdale - Keybanc Capital Markets : Then just to follow up a little bit more long term, if you look at fiscal 2010, right now you’re saying production is going to be up in a 7% or so and I know that subject to change, but just taking a historical view, this is the longest and most severe cutback and exit we’ve ever seen. As of last week, it’s lasted 70 weeks. On average egg sets were down 5% and if you compare it to like a 10 year average, year-to-date egg sets are still down 2%. So it seems like from a supply perspective, everything is very much in check, more so than it’s ever been historically. So when I look at downside risk to earnings next year relative to fiscal ‘09, I think the biggest piece that I see that could comedown is really leg quarters, right, because leg quarter pricing at the end of this year is going to be relatively high compared to the historical average and breast prices are not as good. So can you just talk to where you see the most down side? I mean, there’s so much negative sentiment about food service demand, but here we are today in ‘09 and breast prices are already down from historical levels and you have a very good supply drop back. So just can you help us, if you are sitting here today and you’re thinking of downside risk for next year, what’s the biggest worry for you?
Joe Sanderson: I think the first thing I would observe would be the production outlook, and the first thing I’d look at there would be pullet placement. Pullet placements are down and they’re down historically and it’s the first time in my history here that I’ve ever seen pullet placements down like this. I think there’s a reason for it and I think the experience in 2009 is the reason. If you look at our industry, if you remove the major tray packers from the market and that major tray packers, they’re only five or six people that do that and you can name them all on one hand, the people that pack for the retail grocery. If you’ll take those people out, then every other complex and every other company packs product for food service. It’s either quick serve, fast food, or they pack fresh bulk for food service like we do at our big bird deboning. They pack and further process and batter bread and go into food service, but everybody else other than the chill packers are involved in food service. They know and feel every day the lack of demand at food service and because their experience last year, they have no plans to grow and they know that market is weak. In addition to that, their access to credit for a lot of those people is diminished and in addition to that the people that bank them, I think have less appetite for the chicken business than they did two and three years ago. I think that’s number. I think that’s the first part of the analysis of what you can expect out of the industry next year. The other side of that equation, when you look at the demand side, I think that has to begin with when the economy is going to recover or to begin to recover. I think it might begin in 2010, but it doesn’t recover in 2010. It might begin in 2010, and you’ve got to have people going back to work and people getting jobs back and the numbers there’s 15 million people out of work. Those people have to go back to work, they have to get their paycheck, and they’ve got to be confident they’re going to have their paycheck, and have their job, and the same thing’s true about the export market. The people and the countries where we export, they have to get their jobs back and they have to be comfortable that their economies are good and all of those things have to happen before demand returns. Now, I don’t think all that happens in 2010. I think it might begin to happen, but I don’t think it all happens and so we believe that it begins, but we don’t think it all happens and so I’m optimistic about the production side. I don’t think there’s anyway in the world, the industry ramps up production for all those reasons I said.
Akshay Jagdale - Keybanc Capital Markets: It seems like you’re very optimistic in general, optimistic?
Joe Sanderson: I’m very optimistic about the long term and I’m more optimistic because of the experience of 2009. The demand side, I think I’m realistic and I think it’s going to take time for all those pieces to get put back in place. The thing about it is, when that comes back, the industry is not going to be prepared to meet that demand.
Akshay Jagdale - Keybanc Capital Markets: So I mean, going to $1.18 breast prices like in ‘06, post avian flu, seems highly unlikely. You’re speaking more to the upside, where we see supplies are tight, inventories are really tight. So if there’s a demand pullback, which you’re saying will start in 2010, you could see a significant increase in pricing. So is it fair to say then that the only thing I guess?
Joe Sanderson: I didn’t say significant. I don’t think it will be significant. I think it will be gradual and I think it would be, I don’t see significant and explosive. I just don’t see that in the cards. I see gradual and I see something similar to like we saw this year. I see gradualism as people gradually go back to work and you see gradual improvement in markets.
Akshay Jagdale - Keybanc Capital Markets: Then just one last one on the grain side, I know it looks like it’s going to be a bumper crop. Conditions seem good, they seem some worry about frost, etc., but at one point I know people were talking about 250 corns. I mean, do you see that in anyway over the next 30 days could be a big positive in terms of feed cost coming down next year?
Joe Sanderson: I don’t like to count my kernels before they’re shooed. I don’t know yet. You just don’t know yet. You’ve got to wait. There could be a good corn crop and a good soybean crop, but you’ve got another 30 or 40 days before you’re going to know and you could get way in a slow harvest and you could get a frost. An early frost would be an anomaly, but it could happen and I don’t know. I just don’t like counting on that. I like for them to harvest it and you’ll get another report I mean in September, another one in October and a count in January and you could get a wet harvest and a slow harvest and all kind of things that could happen.
Operator: Gentlemen, we have no further questions in our queue. Mr. Sanderson, I’ll turn the call back over to you, sir.
Joe Sanderson: Good. Thank you for spending time with us this morning and we’ll look forward to reporting our year end results to you in December. Thank you for joining us.